Operator: Hello thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q4 2025 NiSource earnings conference call. All lines have been placed on mute to prevent any background noise.
Operator: After the speaker's remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star then the number one on your telephone keypad. I would now like to turn the call over to Durgesh Chopra, Vice President of Investor Relations. Durgesh, please go ahead.
Durgesh Chopra: Thank you, Tiffany. Good morning, and welcome to NiSource's fourth quarter 2025 investor call. Joining me today are President and Chief Executive Officer, Lloyd Yates; Executive Vice President and Chief Financial Officer, Shawn Anderson; Executive Vice President of Technology, Customer, and Chief Commercial Officer, Michael Luhrs; and Executive Vice President and Group President of NiSource Utilities, Melody Birmingham. Today, we will review NiSource's financial performance for the fourth quarter and share updates on operations, strategy, and growth drivers. Then we will open the call for your questions. Slides for today's call are available in the Investor Relations section of our website. Some statements made during this presentation will be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the risk factors and NDA sections of our periodic SEC filings. Additionally, some statements made on this call relate to non-GAAP financial measures. Please refer to the supplemental slides segment information and full financial schedules for information on the most directly comparable GAAP measure and a reconciliation of these measures. With that, I will turn the call over to Lloyd.
Lloyd Yates: Thank you, Durgesh. And good morning, everyone. We appreciate you joining us today. I will begin on slide three. At NiSource, we exist to deliver safe, reliable, and competitive energy that drives value to our customers. Creating that value depends on disciplined capital deployment, operational excellence, and constructive regulatory frameworks that enable timely recovery of investment. These core principles generate competitive returns, strengthen our balance sheet, and form the foundation of our business strategy. Before we cover our standard business updates, I would like to highlight the successful year for NiSource. In 2025, we effectively executed an agreement with Amazon and, as detailed in our special contract filing with the IURC, we are anticipating $1 billion to flow back to NIPSCO customers, equating to an estimated $7 to $9 per customer per month upon Amazon's full ramp. Our base business continues to deliver for our shareholders, achieving a full-year adjusted EPS of $1.90 per share and FFO to debt of 16.1%, both results surpassing our guidance range. Today, NiSource's value proposition is driven by our regulated utility operations across six highly constructed jurisdictions, providing diversification in both asset type and regulatory environment. As we continue to invest in modernizing our electric and gas infrastructure, remain focused on supporting economic growth, advancing innovative solutions like our Genco model, and maintaining a strong commitment to customer affordability and stakeholder value. On slide four, we highlight our key priorities. Delivering value for our customers has always been and continues to be one of our highest priorities. We have proactively deployed proven regulatory and rate design tools to mitigate bill impacts and protect customers from external cost pressures. In Pennsylvania, customers benefit from the weather normalization mechanism, which prevents bill spikes during colder months, and from a higher fixed charge that helps stabilize the impact of changing usage. These protections were negotiated during our last rate case and have already prevented heightened bill increases since implementation in January. Similarly, in Ohio, our fixed variable rate design smooths the bill impact associated with necessary investments to maintain system safety and reliability and can cut total bill increases in half relative to higher volumetric rate design structures. Our landmark agreement with Amazon further demonstrates our commitment to affordability. This agreement will return approximately $1 billion in value to our Indiana customers, translating into meaningful bill reductions over a fifteen-year period. Customers also benefit from NiSource's scale and disciplined planning. During the recent severe winter storm, we leveraged low-cost gas from our storage assets, which serve roughly 75% of our total load at below-market prices, which help limit customer bill impact. In addition, our flat O&M objective across the platform constrains cost growth and reduces the pass-through of investment-related expenses to customer bills. Together, these proactive measures enable us to invest approximately $28 billion over the next five years to modernize and maintain our infrastructure, continuing to prioritize safety and reliability and targeting average annual bill increases of less than 5%. We have advanced our gas system support by securing a final order in Pennsylvania and adding supportive legislation in Ohio, which will improve rate-making and reduce regulatory lag. In Indiana, our contract with Amazon is pending before the IURC, with a decision expected in the first half of this year. Today, we reported fourth quarter adjusted EPS of $0.51, bringing our year-to-date total to $1.90, and we are reaffirming 2026 consolidated adjusted EPS guidance of $2.02 to $2.07. Despite these strong financial commitments, we believe significant upside remains across the outlook of our plan from developing projects supporting data center growth, oil shoring of manufacturing, and robust economic development across our territories. Now let's turn to slide five. At NiSource, safety is our top priority and the foundation of operational excellence. In 2025, we maintained ISO 55001 and API 1173 certification, underscoring our commitment to a strong safety management system. Our investments in system resilience and emergency preparedness proved invaluable this winter. During one of the most significant storms in the last decade, while many communities across the country experienced widespread outages, our customers remained safe and warm with limited service disruption across our footprint. Over the past year, we accelerated critical safety initiatives, including installing over 545,000 smart meters and surveying more than 41,000 miles of pipelines with advanced mobile leak detection technology, both exceeding targets and enhancing system reliability. Operational performance was further strengthened by leveraging AI analytics and our work management intelligence system, which improve productivity and is being expanded into supply chain and reliability functions. Project Apollo continues to drive cost savings and process improvements, enhancing service quality, and we remain focused on customer affordability, targeting annual bill increases below 5% across our territories over the plan horizon. Regarding our regulatory agenda on slide six, we secured important outcomes in the fourth quarter, including approval of our Pennsylvania rate case in December and continued progress across our tracker platforms. We expect to benefit from improved regulatory support in Ohio following recently enacted utility legislation. Together, these developments reduce regulatory lag, align cost recovery with investment timing, and reinforce our constructive jurisdictional framework. In Indiana, we continue active engagement with the IURC as we advance filings tied to generation transition, fuel recovery, and our economic development initiatives. In 2025, the Indiana economic development team managed one of the strongest pipelines in recent years, supporting over 140 active projects across the service territory. In Virginia, which remains a data center capital of the world, our team has filled more than 40 data center inquiries in 2025. We are currently engaged in approximately two dozen active data center projects, advancing gas infrastructure opportunities to support customer needs. As we look forward to our regulatory agenda in 2026, we currently do not have any pending rate cases, but as typical for our business, some level of regulatory activity will likely occur. We are committed to working collaboratively with stakeholders to make investments that maintain safe, reliable service for our communities. We also continue to engage actively with policymakers at both the federal and state level. In December, NIPSCO received a federal order directing continued operation of our Shaker coal plant beyond its planned retirement. We will comply with this and any future orders we might receive. Our capital strategy remains adaptable to meet regulatory requirements and to maintain financial stability. We filed a proposed new schedule for cost recovery with FERC in line with the DOE-mandated coal plant extension. Our commitment to providing safe and dependable energy remains steadfast. We are monitoring developments related to EPA reliability regulations, MISO accreditation changes, and state-level customer initiatives. Our diversified footprint and integrated electric and gas operations position us well to adapt to evolving policy. We have a well-defined plan for executing our data center initiative, marked by key milestones as noted on slide seven. Right now, we are advancing the Amazon project, and we are on track. On February 2, our zoning application for five parcels was approved by the Jasper County commissioners, a key step for our data center strategy. This approval reflects our commitment to transparency, stakeholder collaboration, as well as Indiana's support for economic growth. Our next major milestone includes IURC approval of the special contract and commencing civil site work. We will update you as we reach and progress towards key milestones over the next several quarters. We are focused on disciplined construction execution, leveraging our proven track record of delivering large-scale generation projects on time and on budget. And with that, I will turn the call over to Shawn.
Shawn Anderson: Thank you, Lloyd, and good morning, everyone. I will begin on slides eight and nine with our financial results for the fourth quarter and full year. 2025 continued NiSource's track record of disciplined capital allocation and cost management to deliver on our financial commitments. The outperformance across 2025 was driven by strong financial management of capital, better-than-expected financing costs, outperformance from retail sales, and sound cost management and constructive regulatory execution across all of our states. For 2025, we reported adjusted earnings of $0.51 per share compared to $0.49 for the same period last year. For the full year 2025, adjusted earnings were $1.90 per share compared to $1.70 in 2024. Results reflect regulatory execution in Indiana, Pennsylvania, and Ohio, partially offset by increased operating and interest expenses. Significant weather effects also impacted the fourth quarter, contributing about 70 basis points in FFO to debt for the full year. The impact was mainly due to the timing of weather events and a portion is expected to be passed back to customers in 2026 through regulatory mechanisms. Our capital plan on slide 10 includes $21 billion of base utility investment over the next five years focused on grid modernization, gas infrastructure replacement, safety, and reliability. The Amazon project at Genco represents $6 to $7 billion of capital investment through 2032, with the majority falling within the five-year planning window. The contract is designed to align cash inflows with customer ramp rate and incorporates protections that support both credit quality and financial flexibility. In addition to these guided CapEx plans, we maintain approximately $2 billion of upside capital investments which support our base business utility operations. Key investments include electric generation investment to comply with MISO's reliability standard and planning projects related to system hardening. Beyond the base and upside plans, our teams continue to advance the incremental investment opportunities shared on slide 11, including MISO's long-range transmission planning process and the development of tranche two projects, PHMSA compliance, and advanced metering infrastructure. We are evaluating these opportunities and will incorporate these projects into our base capital expenditure plan once we have completed the scope and estimation work necessary to launch those projects. Our data center pipeline is shown on slide 12 and remains robust, reflecting our ability to actively develop and serve a growing roster of new customers. We continue to engage in strategic negotiations for one to three gigawatts of new capacity, underscoring the strength and scale of demand in our markets. In addition to these advanced negotiations, we have identified up to three gigawatts of further developing opportunities, positioning NiSource as a key energy partner for data center expansion and broader economic development objectives across our service territories. On slide 13, you will notice that since 2021, we have nearly doubled the generation capacity of the NIPSCO system and built a robust pipeline of projects to meet rising customer demand and support the energy transition. These additions enhance grid reliability and diversification while demonstrating NiSource's proven ability to execute large-scale construction projects. They also position us to serve an expanding customer base, support data center growth, and deliver on our long-term objectives. Slide 14 captures a summary of our financial commitments. We are reaffirming NiSource's consolidated adjusted EPS guidance range for 2026 of $2.02 to $2.07 per share, which represents approximately 8% year-over-year growth compared to 2025. This is fueled by the base business guidance of $2.01 to $2.05, which is expected to grow 6% to 8% off of the $1.90 adjusted EPS achieved in 2025. In addition, in 2026, we expect Genco to contribute 1 to 2¢ as it begins to ramp up its earnings contribution to NiSource. This drives a compound annual growth rate of 8% to 9% through 2033, supported by a 9% to 11% consolidated rate base CAGR through 2033. We are committed to keeping O&M costs flat over the planned horizon to support sustainable operations and reduce future risks. In 2025, we proactively funded incremental initiatives focused on cybersecurity improvements, expanded leak repair activity, and better leak detection, initiatives that lower system risk and protect our infrastructure. Our plan assumes modest customer growth of less than 1% across all customer classes and conservative financing assumptions through 2030. Our regulatory execution in 2025 has increased visibility into 2026 results, with the regulated revenue increases necessary to achieve our guidance range either already reflected in rates or pending approval. Our forecasts incorporate continued use of long-established capital trackers in nearly all our jurisdictions and are based on what we believe are realistic regulatory outcomes. And I am pleased to announce another successful year of dividend growth for our shareholders. In January, the board approved a 7.1% increase in the dividend for 2026 compared to 2025, reflecting our commitment to aligning dividend growth with earnings growth and maintaining our target payout ratio of 55% to 65% as outlined in our strategic plan. The strength of our balance sheet is highlighted on slide 15. We remain committed to maintaining FFO to debt between 14% and 16% throughout the planned horizon. In 2025, we achieved 16.1%, an increase of 150 basis points, exceeding our targeted guidance range. This was aided by strong internally generated cash flows from capital execution, increased equity issuances via the at-the-market program, junior subordinated note issuances, and higher-than-typical cash flow receipts from the above-normal weather we experienced in 2025. This positions us well as we look to execute on our financial plan through 2033. We expect to fund our capital needs through a combination of operating cash flow, long-term debt, and $300 million to $500 million per year of maintenance ATM equity at the parent. At the Genco level, we retain the flexibility to leverage minority equity and project-level debt to minimize financing friction and maximize long-term shareholder value. Turning to slide 16. Genco remains poised to deliver incremental value beginning in 2026 with guidance of 1 to 2¢ per share. We are confident in our strategic direction and look forward to sharing additional updates as we progress through the year as we monitor the IURC's decision on the special contract filing. The year also extended outperformance as shown on slide 17, by consistently following our business plan and rigorous capital allocation principles, we have shown ongoing growth and solid financial outcomes which compound over time. NiSource has met or exceeded the upper end of its guidance range each of the last five years. Each time this target is achieved, we adjust our future adjusted EPS guidance upwards to reflect these accomplishments. This approach has set us apart by creating real value for our shareholders. The effect of our outperformance in annual rebasing compounds, amplifying our achievements, and sets the stage for even greater financial momentum in the years ahead. For example, 2026's implied midpoint is now 8.8% higher than originally forecasted in 2022. That exceeds the upper range of one full fiscal year of earnings power since our strategic business review in 2022. Our track record of exceeding expectations has set a new benchmark for NiSource's performance, delivering 8.5% adjusted EPS since 2021 compared to the industry median growth of 6.4%. This growth in earnings power for NiSource, coupled with a greater than 7% increase in dividend to our shareholders for 2026, will enable us to achieve double-digit annual total shareholder return which endures and grows over the business plan horizon. 2025's 9% year-over-year adjusted EPS growth rate continues a trend of over 8% growth already achieved annually in our business since 2022. And we expect this to continue as we look further out to our long-term guidance. Rate. We can test the consults of data through 20? This consideration of structure and grow further reflect the need. Extend our long profile. Averted discipline, a major new growth opportunity on agreement, Our team is active discipline. 2026 in our strategy. Financial commitment, our ability to sustainable value customers and share. Opposition NICE is to offer that is diverse regulated utility with the ask to invest in oil and gas and per and the long transition story, both fully integrated element of a story. Opportunities, economic development, non-shoring center development, Please differentiate opposition. To many alternative day. That operator, open the line for questions. At this, I would like to ask a press PIN number one on phone keypad. To withdraw in simply the one again. We will calm it to comply roster. Your first comes from the line Campanella Lave Hey. Good morning. Thanks. Good morning. The strategic negotiator for GenscoA and talk about what investors should be looking for to know you are making kind of further progress? As it relates to that figure?
Shawn Anderson: And, you know, maybe just kind of confirm you stand in the supply chain, if you do think you can kind of deliver another gas solution this year. Or if it would be more you know, renewable than batteries? Just any forward-looking thoughts there. Thanks.
Lloyd Yates: Oh, thanks. So I will start, and I will ask Michael Luhrs to weigh in here. Now if you think about the JENCO order that we received last September, you know, NiSource is in a position to offer what we said is a unique solution to potential large low low customers. When you combine the order with our excess transmission capacity and our supportive policy in Indiana, feel like we are in a really strong position to grow our data center load business. We have also created, well, I will say, an organ but we have created an organization under Michael Luhrs. It is led by Dan Douglas. You probably do not know, but sole purpose of that organization now is to execute on this opportunity. So with that being said, I mean, Mike, those guys wake up every day to on the data center opportunity. So I do not think future transactions will take as long as Amazon. You know, when we did the Amazon deal, we had a bunch of people working part-time to accomplish that. So I think what we are having now is better focus and better processes which should lead to faster execution. Now I will turn it over to Michael to talk about the discussions with the counterparties and then the queue and backlog.
Michael Luhrs: Sure. Thank you, Lloyd. The discussion with the counterparties are progressing well. We have multiple counterparties that are in that pipeline that we continue to develop. We feel very positive relative to those negotiations. And I do believe that the Genco solution that we have designed and put forward has been advantageous to those discussions. Relative to the supply chain and the pipeline, as we have discussed before and as we continue to do, we are facilitating that pipeline through investment in long lead time equipment, turbine reservations, breakers, transformers, etcetera. To help make sure that we can meet counterparty demand in a very timely way. Speed to market is one of our core tenants, and we are investing in that speed to market.
Shawn Anderson: Okay. Thanks. And, appreciate that. Maybe just the commentary, in the prepared around no pending rate cases outstanding. Can you just give us an idea of how you are thinking through your Pennsylvania strategy and what the considerations there?
Lloyd Yates: Are? So right now, not planning a rate case in Pennsylvania. I know there has been a lot of commentary about Pennsylvania. We just had a rate case. We finished a rate case last December. In that rate case, we increased revenue $55 million by 10% ROE. We had great conversation with the commissioners. What one was to continue to con invest and replace plastic pipe first first generation plastic pipe in Pennsylvania and continue along with that investment. That is same time, it would do not come in for rate cases so frequently. So we are in the midst of trying to solve that conundrum with some some kind of regulatory solution that we are working through right now, but we do not have anything new to tell you about that. Okay. Thank you.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Jefferies. Please go ahead.
Julien Dumoulin-Smith: Good morning, team. This is Park on for Julian. And Good morning. Appreciate the color. Yeah. Thank you. On the supply chain. And maybe just a quick follow-up on timing. Should we think about announcement of the next Genco deal as contingent on receiving the first IURC approval for the special contract filing? Or, you know, could the second project be announced ahead of that milestone?
Lloyd Yates: So as we as we mentioned earlier, let me say we are executing on our strategy. We have a specific team working on that strategy. We have more focus and better processes. We do not have a date. I think that we are dealing with a port I know that we are dealing with a portfolio of customers, These are complicated transactions. They take a lot time. And with that portfolio of customers, we do not have specific time to lay out to you right now. When we know something, you know, we will communicate it appropriately. Michael, you want to add anything to that?
Michael Luhrs: Only thing I would add to that is is the another opportunity is not dependent upon the IURC approval of the first opportunity with Amazon. That is not a a condition precedence in what we are doing with additional development of the pipeline.
Julien Dumoulin-Smith: Okay. Appreciate the color, and thank you. And maybe if I can quickly, pivot to regulatory front and appreciate the color on Pennsylvania rate case filing. Maybe just how should we think about the timing, you know, for the Nipsco gas rate case filing this year? Are you on track, or do you plan to file for that rate case this year? Just based on case historical cadence?
Lloyd Yates: No. They You can do that.
Operator: Yep. At this time, we have not made the determination to file, you know, for a rate case. We are taking everything into consideration but at this time, no.
Lloyd Yates: Okay. Thank you.
Operator: Your next question comes from the line of Bill Apicelli with UBS Securities. Please go ahead.
Bill Apicelli: Hi. Good morning. Just following up on the same theme here. I As far as those, conversations, are going, you know, can you speak to maybe the the scale of the opportunities? I mean, obviously, the the initial announcement was quite large. I mean, should the expectation be you know, smaller contract sizes moving forward, or any thoughts there of how you guys are are framing out the the size and scale of the incremental opportunity?
Lloyd Yates: So we have not disclosed the size and scale. What we have said is we are in strategic negotiations with one to three gigawatts and that entails a portfolio of customers and could be multiple sizes and shapes. Michael, anything to add to
Michael Luhrs: The the only thing I would add to it is if you remember our criteria around making sure for stakeholders that we are maintaining the balance sheet, the speed to market, providing a benefit to customers, we really look at those criteria for the determination of what deals we pull through. If customers meet those opportunities, those deals, then we can serve them and execute on those, then, you know, we we will continue to do that. So it is more about the capabilities and the contract agreements than it is about the specific size of the counterparts.
Bill Apicelli: Okay. And has the the the pace of those conversations picked up at all just in the last few months as we have seen some you know, slowdowns in other regions? I am just curious on that front. I would say the pace of the conversations, discussions, has picked up Our organization's speed has picked up. We have a lot confidence in our ability to execute on the strategy. Okay. Great. And then just one other topic here. Can you maybe explain a little bit around the significance of of senate bill one three and what that could mean for large load customer opportunities in Ohio. And or I guess, any of those contemplated within the base capital the $2 billion of upside base CapEx?
Shawn Anderson: Yeah. Thanks, Bill. Appreciate the question. We have not inquired incorporated any upside from economic development or the procurement of large load customers into the Columbia Gas Ohio forecast yet. We are currently working on optimization based on the outcome that we received in December and the new law signed, to help us optimize both the regulatory strategy as well as minimizing regulatory lag potential, get get tighter and more certain capital recovery timelines, and then certainly how we can action alongside Michael's team, the upside that come from economic development and data center opportunities in Ohio. But none of that is in reflected in the the COH plan at this point.
Bill Apicelli: Okay. That is something you could fold in later this year?
Shawn Anderson: Yep. Absolutely. Throughout the year, even at that point, we we would not need to wait till a typical full plan refresh for us to provide guidance, whether it is, on individual projects or the upside CapEx, as we have shown in the past, we will flow those potential upsides. Into our plan all along the way.
Lloyd Yates: Alright. Great. Thank you very much.
Operator: Your next question comes from the line of Elias Jossen with JPMorgan. Please go ahead.
Elias Jossen: Hey, everyone. Just wanted to start on some of the recent developments across Indiana as it pertains to the base business. Can you remind us where we are on House Bill 10 o two and, you know, frame potential impact of that legislation. Maybe just speak more broadly to some of the IUR appointment changes and their know, overall view of of your business and you know, the affordability backdrop. Thanks.
Lloyd Yates: So let me start with we are supportive of how Bill 10 o two. It Today, it is in, I think, senate appropriations in this in the state of Indiana. The session ends March 15, so I am not sure whether it it will get out of it in it will get out of appropriations in time. For the approval process. But over overall, think it will be good for us. I mean, the bill has kind of four big components, multiyear rate plans, and perform some performance-based components. It has a mandatory budget billing with an opt-out. Then it has a a low-income plan, funding funding for a low-income plan, which we already have, in the state of Indiana. So we think the bill is ultimately good We support the bill. We I I I think we have had good input into the bill. And we we like where it is. I think with respect to the commissioners, the three new IURC appointments, I think they will be balanced We we are very familiar with all three of the new commissioners. And, again, I think Indiana will continue to be a very constructive regulatory jurisdiction.
Elias Jossen: Awesome. And then jeez. But can you remind us if the high end of the Genco range reflects the full upper bound of Amazon's ramp? Or is that a more conservative scenario? Just trying to understand sort of the the total possibility there on the Genco contributions.
Shawn Anderson: Yeah. So this is Shawn. There is a range of scenarios which have the potential to impact the positioning of where we are at with the within the range. The most notable are related to financing costs and construction timelines, faster than anticipated leads to lower financing costs, thus positioning us like like higher in the range. Slower construction timelines could lead to more financing costs, and thus a lower position within the guided range. In addition, you know, we have got some opportunity to optimize that financing cost overall. We are evaluating those scenarios, and we could see some outperformance of where we are within our point estimate, which would ultimately strengthen the earnings contribution to NiSource. So we have a range of scenarios reflected in the guidance that we provided for all years. Certainly, incremental customers or changes to the current timelines could represent upsides and strengthen where we are at. But those are further out as we look at the 2033 guidance range.
Elias Jossen: Got it. Appreciate the color.
Operator: Your next question comes from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller: Good morning, everyone. Thank you.
Lloyd Yates: Good morning. Quick one on Schafer. I will save you from all the data center. Questions here. So two unrelated ones. Schaeffer, economics run time, plans to retire, what is beside what you said in the opening comments? What is a more detailed plan for Schafer do you think right now?
Lloyd Yates: So as you know, we received a two zero two order on Schaefer. I think it was December 23. We were on retire that plant December 31. We filed with FERC and going down a path for cost recovery. Right now, in terms of our capital plan, we have enough flexibility in our capital plan where it is running Schafer as as an alternative is not going to have a big impact on our capital plan. I think run time will be determined by myself. In terms of demand and availability, but it will we are putting ourselves in a position to be able to operate Schafer, operate it reliably and effectively. I think longer term, there are some environmental constraints that will prevent it from operating at a really long term, but those are subject to change with some of the EPA regulations that are being changed right now. So you know, would you know, we expect to receive maybe another order every ninety days until the federal government changes the way that you know, that process works. You know, we are going to operate safer and comply with all the orders that we receive.
Travis Miller: Okay. Makes sense. And then higher level question. What are you seeing across your jurisdictions in terms of electric and gas coordination? So either timing or supply coordination. Now it is an issue that has been coming up here recently. What is the status do you think in in your jurisdiction as you got these had more gas generation and have have that gas supply side.
Lloyd Yates: I will talk about this. Not as an NiSource, but as the former chair of the AGA. We have been intimately involved. We are Movica, who is our senior vice president of operations has led the GEAR task force, which is really the point on the spear from the AGA perspective and with on the electric side of the business of figuring out how to more effectively coordinate gas and a ledger across the entire United States. So I would say this is a US thing from it is The United States thing, not just our region issue. It is an important issue. I think it is getting better. I think the process processes are being developed. To be much more effective and have much tighter coordination than we have in the past, which I think will really be important for reliability and resilience.
Travis Miller: Okay. Great. That is all I had. Thanks so much.
Operator: Your next question comes from the line of Paul Fremont with Ladenburg. Please go ahead.
Paul Fremont: Thank you very much. Congratulations on a on a great year. I guess my question has to do with what should we expect with respect to reporting for the Genco? Right now, you have got Columbia operations, NIPSCO, corporate and other. Should we be looking, you know, for a fourth segment for the Genco or or how how do you plan on on on showing that in terms of the financials? Shawn?
Shawn Anderson: Yeah. Hey. Good morning, Paul. We we do anticipate as Genco becomes more material to NiSource's operations to break Coat as its own segment. Obviously, we have not done that yet for 2025 reporting, but as we step into 2026's results, we would anticipate growing to to provide incremental disclosure around that.
Paul Fremont: So, I mean, should we begin to see something, like, in the first quarter? It will be will it be more towards the end of the year? Or or several years out when the EPS contribution goes higher?
Shawn Anderson: I would expect it in 2026. Fiscal results. So I would start to build that out in your models. We have not disclosed the exact timing of when we will do that. We are underway to to make sure we can get that disclosure, out there.
Paul Fremont: Okay. And then last sort of question will be when you do it out, will it be a full income statement or or just partial?
Shawn Anderson: We will be sure to get that information out to you, Paul. We have not exactly, disclosed those plans yet, but we will we will get that updated for you and and help you if you need any side side conversations on what to start to build out.
Paul Fremont: Great.
Operator: Thank you very much. That concludes our question and answer session. I will now turn the call back over to Chief Executive Officer, Lloyd Yates, for closing remarks.
Lloyd Yates: First of all, thank you for your questions and your interest in NiSource. I do want to take this opportunity because I know they are listening, to thank all of the NiSource employees and contractors for winter storm Fern. You know, our performance was exceptional. We had very few customers interrupted. Our customer states safe and warm. And we recognize the hard work that went into that. So thank you to the team. Have a great day.
Tiffany: Ladies and gentlemen, this concludes today's call. Thank you all for joining. You may now disconnect.